Operator: Good morning and welcome to Charles River Associates' Second Quarter Fiscal 2017 Conference Call. This call is being recorded. Today's release and prepared remarks from CRA's Chief Financial Officer are posted on the Investor Relations section of CRA's website at crai.com. With us today are CRA's President and Chief Executive Officer, Paul Maleh; and Chief Financial Officer, Chad Holmes. At this time, for opening remarks and introductions, I would like to turn the call to Mr. Holmes. Please go ahead, sir.
Chad Holmes: Thank you, Cheri. I would like to remind everyone that the statements made during this conference call, including guidance on future non-GAAP revenue and non-GAAP adjusted EBITDA margin for fiscal 2017 or any other statements concerning the future business, operating results and financial condition of CRA, including those using the terms, looking forward, expect, believe, anticipate, continues, estimate, should or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain and actual performance and results may differ materially from those expressed or implied in these statements due to many important factors. Additional information regarding these factors is included in today's release and in CRA's periodic reports with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures on this call, including adjusted EBITDA and certain measures presented on a constant currency basis. Everyone is encouraged to refer to today's release or on our website noted above for a reconciliation of these non-GAAP measures to their GAAP equivalents, including descriptions of the calculations of adjusted EBITDA and the measures presented on a constant currency basis. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Chad, and good morning, everyone. CRA delivered strong financial results in the second quarter of fiscal 2017, achieving our highest quarterly revenue and adjusted EBITDA in more than eight years. We added more than 100 new consultants year over year, which includes the successful integration of our C1 colleagues, while achieving company-wide utilization of 76%. Our business generated 13.4% year-over-year non-GAAP revenue growth in Q2. These results reflect the continued strength of our portfolio and the successful execution of our strategy to generate broad-based, profitable growth. Our performance was driven by double-digit growth in our Energy, Forensic Services, Life Sciences and Marakon practices, as well as solid contributions from our Antitrust & Competition Economics practice. This performance is especially notable, given that these practices represent more than 75% of CRA's second quarter revenue. As another example of the continued strength across our portfolio, on a constant currency basis, our international operations in the second quarter grew by roughly 9% year-over-year. Our reference to broad-based contributions is an important one. The strong performance we have delivered during the past couple of years is built on contributions across our entire portfolio. Today, we highlight the exceptional performance of the Energy, Forensic Services, Life Sciences and Marakon practices, but during the past 18 months, each of our practices has been referenced at least in two quarterly earnings announcements for their exceptional contributions to CRA's overall results. Our portfolio is working, and I look forward to reporting on our accomplishments in the quarters ahead. Returning to the second quarter, our Antitrust & Competition Economics practice continued to support ongoing and potential mergers in both North America and Europe. In addition, practice experts offered testimony in a number of high-profile litigation matters, including for example, one expert who worked on a large litigation between a health plan and a hospital involving allegations of foreclosure and collusion. The energy practices performance was led by project growth in both litigation and strategy opportunities. In the second quarter, CRA was engaged by a large electric and gas utility to support the Company's power generation strategy and other long-term market modeling needs. This project is expected to run for multiple years and create numerous additional opportunities for the practice. In addition, CRA was engaged by a longstanding private equity client to support multiple analyses of power generation technology investments. Within our Finance practice, demand for Forensic Service also continued to grow. Clients seek our assistance when allegations of fraud and misconduct arise. For example, in the second quarter, we were hired by the audit committee of a large healthcare provider to investigate allegations of sham financial transactions, which caused the client's revenue and net income to be potentially overstated. Turning to our Life Sciences practice, C1 Consulting has been a wonderful addition, both in terms of the quality of our new colleagues and the strength of their client relationships. Our legacy Life Sciences practice also enjoyed a successful second quarter, building on its core services while leveraging new capabilities of our C1 colleagues. During the second quarter, our services in the strategy sector of the practice continue to support longstanding and new clients with commercialization strategies aimed at maximizing the value of both new therapies and mature products. In the Litigation portion of the practice, we continue to provide services related to pay-for-delay litigation and related to arbitrations regarding the provision of commercially reasonable efforts associated with pharmaceutical development and marketing collaborations. Marakon continued its strong performance with solid results, both in Europe and North America. This practice has been generating new and expanded project work from top clients, who view our consultants as strategic partners in driving sustainable growth and increasing enterprise value. As an example, working with an international healthcare company, we helped prioritize countries for international expansion, taking a view on the evolution of local healthcare systems and the competitive dynamics that shape local market attractiveness. For another client that competes in the manufacturing sector, we performed a strategic assessment of its current industry pricing mechanism, and we are evaluating alternative pricing models that could transform the industry. Reflecting on our strong performance in the first half of the year, we are increasing our fiscal 2017 revenue expectations. To summarize, year-to-date non-GAAP revenue on a constant currency basis relative to the first half of fiscal 2016 is $185.6 million, including the $3.9 million adjustment for currency headwinds. Similarly, year-to-date non-GAAP adjusted EBITDA is $30.1 million, including a $900,000 adjustment for currency headwinds, or 16.2% of non-GAAP revenue on a constant currency basis. On a constant currency basis relative to fiscal 2016, we are increasing our previous fiscal 2017 guidance for non-GAAP revenue from the range of $350 million to $360 million to the range of $360 million to $370 million, and reaffirming our previous fiscal 2017 guidance of non-GAAP adjusted EBITDA margin in the range of 15.8% to 16.6%. While we're encouraged by our performance in the first half of 2017, we remain mindful that uncertainties around global economic conditions and short-term challenges arising from the integration of incoming consultants could adversely affect our business in the quarters ahead. Before I turn the call over to Chad, I want to provide a special mention for Dr. James Burrows, who celebrated 50 years of service with CRA on June 23. Jim began working at CRA while he was still a Ph.D. student at MIT. He went on to hold several leadership roles and was instrumental in growing the firm during his tenure as CEO, including taking CRA public in 1998. Under Jim's leadership, the business grew nearly twentyfold, from three offices to more than 20 offices today. Jim's career embodies the values of CRA, and our clients continue to benefit from Jim's unwavering intellectual curiosity. We are grateful to have him as a role model for the past 50 years. Thank you, Jim. And now, I'll turn the call over to Chad for a few additional remarks.
Chad Holmes: Thanks, Paul. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website. Before we get to your questions, let me provide a few additional metrics related to our second quarter 2017 performance. In terms of headcount, we ended the second quarter with 600 consulting staff, which consisted of 123 officers, 326 other senior staff and 151 junior staff. This is a net increase of 107 consultants, or approximately 22% growth from the 493 total consulting headcount we reported at the end of the second quarter of fiscal 2016. As a reminder, headcount for the second quarter of fiscal 2017 includes consultants who joined as part of the C1 transaction in the first quarter of 2017. Non-GAAP selling, general and administrative expenses as a percent of non-GAAP revenue, excluding the 2.4% attributable to commissions to non-employee experts, was 18.6% for the second quarter of fiscal 2017 compared with 18.1% a year ago. Turning to the balance sheet, DSO at the end of the second quarter was 105 days, compared with 101 days at the end of the second quarter of fiscal 2016. DSO in the second quarter consisted of 67 days of billed and 38 days of unbilled, compared with 68 days of billed and 33 days of unbilled in the second quarter of fiscal 2016. The effective tax rate for the second quarter on a non-GAAP basis was 36.7%, compared with 38.5% on a non-GAAP basis for the second quarter of 2016. The primary reason for the lower effective tax rate stems from recent changes in the treatment of stock-based compensation. For the remainder of fiscal 2017, we expect our non-GAAP effective tax rate to be approximately 40%, resulting in a full-year effective tax rate in the range of 38% to 39%, which could fluctuate due to factors including jurisdictional mix and the accounting for stock-based compensation. We concluded the second quarter of fiscal 2017 with $14.7 million in cash and cash equivalents, having repaid all outstanding borrowings under our line of credit. We remain committed to maximizing long-term value by reinvesting in our business and returning capital through both share repurchases and quarterly dividends. During the quarter, we repurchased approximately 389,000 shares of our common stock for $13.5 million under our existing stock repurchase program. At the end of Q2, we had approximately $15.6 million available under the share repurchase program. In the second quarter, we also paid a quarterly cash dividend of $0.14 per common share, which totaled $1.2 million in aggregate for the quarter. Finally, earlier today, we announced that our Board of Directors declared a quarterly cash dividend of $0.14 per common share, payable on September 15, 2017 to shareholders of record as of August 29, 2017. That concludes my prepared remarks. Cheri, we would now like to open up the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Tim McHugh with William Blair & Company. Please state your question.
Timothy McHugh: Hi. Just wanted to ask first on the Antitrust & Competition policy area, which remains very good for you guys. There's been some speculation by others that the uncertainty with the new administration and how they – presidential administration and how they approach kind of or view antitrust issues has caused some softness or some uncertainty at least related to that area? I guess, I'm curious if you're seeing anything that clearly wasn't in this quarter, but I guess, as you look forward and just as you think about that market, is that having any impact on the potential opportunities there?
Paul Maleh: Good morning, Tim. I guess I would concur with the view that you're citing. We are seeing what I would call a little bit of uncertainty and pause amongst our client base. So the flow and revenue could be potentially higher, but what I can say is we've experienced growth year-over-year in that area, and we're also seeing healthy lead flow in new project originations. I can't really opine as to what the [indiscernible] world would be without the uncertainties created by the new administration, but we're definitely seeing a little more hesitancy in our client base right now.
Timothy McHugh: Okay, and then there's also a comment I think about a long-term kind of engagements. Is that just a series of engagements are you getting into – are you starting to see opportunities where you truly, I guess, kind of contractually get engaged for longer periods of time, which I imagine would give you more visibility, which would be great? But can you just elaborate if that's one-off or if that's kind of a change you're starting to see in the business?
Paul Maleh: I think we're seeing a little bit of a change. I wouldn't go as far as saying that there is enough shifts to give me a change in longer-term visibility. But many of our practices, Marakon, Life Sciences, Energy, particularly on the strategy side of the house, as they build stronger relationships, are seeing longer-term client projects. So the one I referenced in the script was a project that was a competitive bid, multiple strategy consulting companies were bidding for it, but our Energy practice prevailed. And this gives them a long-term engagement, a wonderful base of revenue for the practice, but also a wonderful way to expand the services that they're providing for that client. So we're excited for the practice much more than the incremental revenue that we maybe getting over the next few years.
Timothy McHugh: Great. Thank you.
Paul Maleh: Thank you, Tim.
Operator: Our next question is from Marc Riddick with Sidoti. Please go ahead.
Marc Riddick: Hi, good morning.
Paul Maleh: Good morning, Marc.
Marc Riddick: So forgive me if you stated this. But I wanted to see if we could get a sense of – with the strong revenue growth, what that mix was like from organic versus acquisition related?
Paul Maleh: So I didn't break that out specifically. I mean, what I would reference back is, I believe at the time of the C1 acquisition, we provided an estimate of cash revenue basis for C1 of approximately $22 million in fiscal 2016. And I'm happy to report that we've seen an expansion related to the services and the client relationships that we brought over at CRA, but also an expansion from our legacy operations in Life Sciences and also the combination of the two. So C1 was clearly an important contributor, but if you do the simple math, you'll also see that a good part of the expansion was organically driven.
Marc Riddick: Right, great. That's fine. I wasn't sure if it was broken out, I missed it. One of the other things I wanted to touch on within the acquisition pipeline, certainly, C1 certainly seems to be a very nice acquisition for you. I want to get a sense of maybe what you're seeing in some other practices and maybe sort of how you're feeling about the bid-ask spread at this point?
Paul Maleh: Sure. I don't have an acquisition strategy, per se. Our goal is always to try to see and do anything we can to strengthen the portfolio as a whole. What I can say is success breeds success. So the success that our practices have been having has created an attractive destination for top talent. So we're getting a lot of inbounds, both in terms of individuals in the secondary market, but also on potential acquisition targets. And we're reviewing those carefully. Nothing is imminent right now on our pipeline. But we're excited at the lead flow of inorganic opportunities that's coming aboard.
Marc Riddick: So things seem to be going very well on the business development side of things, and you seem to be doing very well there. I was wondering, are there any areas from an operational standpoint that you're looking at weak/improve that are sort of at the top of your priority list at the moment? Are there any particular areas, as far as company-specific issues?
Paul Maleh: Now, there's still lots of things that keep me up at night, Marc. Growth...
Marc Riddick: That is a better way of putting it I think.
Paul Maleh: Yes, that's it. Growth will sometimes create short-term cost pressures on our portfolio. And we see some of that come through in the Q2 results. But I don't see anything or any systematic factors that cause me concern about our long-term profit outlook. There were a few items that weighted down our SG&A expenses in Q2, if you look at our Q2 SG&A relative to prior quarters a year ago. But we can see remedying that in the quarters ahead. So I feel good about the profit-generation capacity of the company and our expectations of cash flows in the medium and long-term.
Marc Riddick: Last one for me. One of the interesting things that sort of came out of the acquisition was the real estate and expanding the office footprint. I was wondering if you had an initial view as to what you might end up doing with those locations or office-based opportunities. Or what that might bring to the company going forward? Thank you.
Paul Maleh: Yes, the increased headcount is definitely necessitating us securing additional office space to house our new colleagues. So there are some short-term pressures that come from that. And that's pretty much across our entire geographic portfolio that we're trying to address it. So they're high-class problems to have, but there are still – we're expanding wisely, I would say, on the real estate front. Do you have anything there, Chad on the expenses?
Chad Holmes: No, I think you hit it right on. There is a cost to growth, but it's a high-class problem. We're happy to have these heads. In the real estate front, we've got to find some new space. And that's what we're doing. You've seen some announcements as we've taken on expanded leases in our geographies, and that's to consolidate operations, so we can bring everyone together.
Marc Riddick: Okay, great. Thank you very much.
Paul Maleh: Thank you, Marc. End of Q&A
Operator: At this time, we have reached the end of the Q&A session. I will now turn the conference back over to Mr. Maleh for closing or additional remarks.
Marc Riddick: Again, thanks to everyone for joining us today. We appreciate your time and interest in CRA. We'll be meeting with investors in the coming months, and we look forward to updating you on our progress next quarter. Before I conclude today's call, I want to have a callout to an important member of our team, Jamie, who is dealing with recovery right now from some surgery. Jamie, you got to get well soon because we can't continue to do your work, okay? Okay, so get well, Jamie. With that, that concludes today's call.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.